Operator: Good morning. And welcome to the CrossAmerica Partners Fourth Quarter and Full Year 2023 Earnings Conference Call. At this time, all lines are in listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions]. This call is being recorded on Tuesday, February 27, 2024. I would now like to turn the conference over to Maura Topper, Chief Financial Officer. Please go ahead.
Maura Topper: Thank you, Operator. Good morning. And thank you for joining the CrossAmerica Partners fourth quarter and full year 2023 earnings call. With me today is Charles Nifong, CEO and President. We will start off the call today with Charles providing some opening comments and an overview of CrossAmerica’s operational performance for the quarter and full year, and then I will discuss the financial results. We will then open up the call to questions. Today’s call will follow presentation slides that are available as part of the webcast and are posted on the CrossAmerica website. Before we begin I would like to remind everyone that today’s call, including the question-and-answer session may include forward-looking statements regarding expected revenue, future plans, future operational metrics, and opportunities and expectations of the organization. There can be no assurance that management’s expectations, beliefs and projections will be achieved or that actual results will not differ from expectations. Please see CrossAmerica’s filings with the Securities and Exchange Commission, including annual reports on Form 10-K and quarterly reports on Form 10-Q for a discussion of important factors that could affect our actual results. Forward-looking statements represent the judgment of CrossAmerica’s management as of today’s date and the organization disclaims any intent or obligation to update any forward-looking statements. During today’s call, we may also provide certain performance measures that do not conform to U.S. Generally Accepted Accounting Principles or GAAP. We have provided schedules that reconcile these non-GAAP measures with our reported results on a GAAP basis as part of our earnings press release. Today’s call is being webcast and a recording of this conference call will be available on the CrossAmerica website for a period of 60 days. With that, I will now turn the call over to Charles.
Charles Nifong: Thank you, Maura. As always, Maura and I appreciate everyone joining us this morning. We thank you for making the time in your schedule to be with us today. During today's call, I will go through some of the operating highlights for the fourth quarter and full year 2023. I will also provide commentary on the market and a few other updates, similar to what I have done on our previous calls. Maura will then review in more detail our financial results. Now if you turn to Slide 4, I will briefly review some of our operating results. For the fourth quarter of 2023, our wholesale segment gross profit increased 1% to $33 million compared to $32.8 million in the fourth quarter of 2022. The increase was driven by an increase in fuel margin, partially offset by a decrease in fuel volume and rental income. Our wholesale order fuel gross profit increased 3% to $19.3 million in the fourth quarter of 2023 from $18.7 million in the fourth quarter of 2022. Our fuel margin increased 8% from $0.087 per gallon in the fourth quarter of 2022 to $0.094 per gallon in the fourth quarter of 2023. The increase in our wholesale fuel margin per gallon was primarily driven by our success in our efforts to improve our fuel purchasing costs and to beneficial market conditions. For the quarter, the average spot price of West Texas Intermediate crude oil decreased 5% from $82.79 per barrel in the fourth quarter of 2022, $78.53 per barrel in the fourth quarter of 2023. Historically, a decline in WTI for the quarter relative to the prior year would lead to a lower wholesale fuel margins per gallon and a year-over-year comparison. The fact that it did not for the fourth quarter is additional evidence of our improved fuel sourcing costs and the beneficial impact on our business. Our wholesale volume was 205.3 million gallons for the fourth quarter of 2023 compared to 213.5 million gallons in the fourth quarter of 2022, reflecting a decline of 4%. The decline in volume when compared to the same period in 2022 was largely due to the conversion of certain lessee dealer sites to our retail class of trade and lower same site volume, partially offset by the community service station assets acquired during the fourth quarter of 2022. For the quarter, our same-store volume in the Wholesale segment was down approximately 3% year-over-year. Based on national demand data available to us, our wholesale volume performance for the quarter was in line to slightly better than overall national demand. In the period since the quarter end, wholesale same-store volume has been down 2% to 3% year-over-year, in part due to winter weather in the eastern half of the United States, but also due to softer overall demand. Regarding our wholesale rent, our base rent for the quarter was $13 million compared to the prior year of $13.7 million, a slight decrease due to the conversion of certain lessee dealer sites to company-operated sites. Aside from a decrease in rent due to class of trade changes, our rental income continues to be a durable income stream in our business. representing 38% of our gross profit for our wholesale segment for the fourth quarter of 2023. For the retail segment, performance was very strong for the fourth quarter of 2023, generating $69 million in gross profit. Our motor fuel gross profit increased 11%, our merchandise gross profit increased 18% and our merchandise gross profit margin percentage was up approximately 70 basis points when compared to the same period in 2022. On the fuel margin front, our retail fuel margin on a cents per gallon basis increased 8% year-over-year as we experienced relatively strong fuel margins at $0.415 per gallon in the fourth quarter of 2023, compared to $0.383 per gallon in the fourth quarter of 2022. As I touched on in the wholesale segment review, our retail segment benefits from our improved fuel sourcing costs as well. While we profited from strong market conditions for fuel margin in our retail segment this quarter, our retail fuel margin results were also enhanced by our lower fuel product costs relative to the prior year. For volume on a same-store basis, our retail volume declined 3% for the quarter year-over-year. Our retail segment same-store volume decline was driven in part due to some site-specific issues such as the rebuilding or construction of travel plazas at certain sites we have along major toll roads. When adjusting out for these factors, our retail same-site volume while still down, compares favorably with the national demand data I referenced earlier. Our retail volumes, since the start of the year has been softer with weather impacting our results in January. Retail same-store volume has improved somewhat in recent weeks, but still remains soft overall relative to the prior year. Retail fuel margins in January were stronger than the prior year, but a bit lower as we have moved into February. For inside sales on a same-site basis, our inside sales increased approximately 3% relative to last year for the fourth quarter. Inside sales, excluding cigarettes, were up approximately 5% year-over-year on a same-store basis for the quarter. The strong sales performance was primarily driven by the categories of packaged beverages and deli. On the store merchandise margin front, our merchandise gross margin increased 18% to $22.1 million, driven by our increased sales from our higher store count, the increase in same-store sales and improvement in our store merchandise gross margin percentage. The store merchandise margin improvement was due to our continued efforts on certain initiatives we have in regards to pricing, product sourcing and promotions as well as a sales shift towards higher-margin products. In the period since the quarter end, same-store inside sales inclusive of cigarettes, are down approximately 2% due to winter weather in certain markets and overall softer demand as noted with fuel volume as well. As we noted last quarter in our retail segment, if you look at our company-operated site count, we are up 41 company-operated retail sites from the prior year and up modestly by three company-operated sites relative to the prior quarter, the third quarter of 2023. Our commission agent site count increased by 10 sites relative to the third quarter of 2023. In both classes of trade, the increase is due to our conversion of certain sites from other classes of trade to either company-operated or commission operated locations. Overall, it was another positive quarter for our retail segment as our margin per gallon, same-store sales same-store merchandise gross margin and store merchandise margin percentage were all up relative to the prior year. If you turn to the next slide, I will briefly review our segment performance for the full year. Our wholesale segment generated gross profit of $128.8 million for the full year 2023, a 1% decline when compared to the $130.7 million reported in 2022. The decrease was driven by a slight decline in fuel margin with fuel volume and rental income being relatively flat for the 12-month period. Our fuel margin for the wholesale segment was $0.086 per gallon for the full year of 2023 to $0.087 per gallon for the full year of 2022. Our wholesale volume was 842.6 million gallons for the 12-month period ending December 31, 2023, compared to 844.5 million gallons for the same period of 2022. The slight decline in volume when compared to the same period in 2022 was primarily due to the factors that I mentioned earlier during my fourth quarter commentary. For the full year, our same-site wholesale volume was down approximately 1.5%, which based on national data available to us, outperformed the overall national volume demand. For the full year of 2023, our retail segment's gross profit increased 3% to $253.5 million compared to $245 million for the full year of 2022. Merchandise gross profit rose $13.7 million or 18%, while our other revenue increased $3.2 million or 26%. This was partially offset by a decline in motor fuel gross profit of $7.8 million or 5% when compared to the full year of 2022. As you recall, during the third quarter of 2022, we had extraordinary fuel margins due in part to an extended period of declining crude oil and motor fuel prices. Considering this extraordinary period in 2022, our 2023 retail fuel margin results compare quite favorably with the prior year and show the continued strength of the overall fuel market. On a same-store basis, our fuel margin for our retail segment increased slightly for the full year 2023 relative to 2022, which, again, relative to national demand data we have available to us, demonstrates outperformance of our volume relative to national data. Our retail store sales, excluding cigarettes on a same-store basis, increased 8% for the full year 2023, which also compares favorably to national data on industry same-store sales. We also continue to evaluate our portfolio and look for opportunities to divest five core properties. For the full year of 2023, we divested 10 properties for $9.2 million of proceeds. We were less active with divestitures last year than what we would like and intend to make this an area of increased focus an effort for us in the coming year. In our press release, we noted the pending transaction, we have to take control of a number of sites that we currently lease out to Applegreen. Besides our long-term leases to Applegreen, and as a result of the transaction, the leases will be terminated and we CrossAmerica, will now company operate these 59 retail locations. These sites are solid assets in good locations at the partnership previously retail company operated prior to leasing the locations to Applegreen. And for additional context, leasing relationship with Applegreen for these locations began before the Topper Group assumed control of the partnership in 2019. The transaction is part of our strategy to convert more of our control locations to company-operated retail or commission locations as we have described on previous calls. We look forward to company operating these locations and expect the transaction to positively impact our retail segment and overall results. If you turn to the next slide, Slide 6, our basic business strategy remains unchanged. We seek to continue to provide excellent service and value to our customers, whether they are retail or wholesale customers. We want to continue to find ways to improve the business, the operational efficiencies and realizing benefits of our scale. Finally, we seek to optimize our portfolio to create long-term value for our unitholders. Our efforts to convert certain control sites from existing classes of trade to company-operated retail or commission sites that I touched on today and in prior calls as part of this strategy to position the portfolio for long-term value and to capitalize on changes in the market and industry. As I stated last year, our ultimate objective in all that we do is to be good stewards of the capital our unitholders have entrusted with us and to provide our unitholders a steady, dependable cash flow and to increase the value of their units over time. Finally, as noted in our press release, this fourth quarter was the best fourth quarter in the partnership's history. The excellent fourth quarter results are demonstrable proof of the overall soundness of our business strategy and the successful execution of the many strategic actions we have taken over the last 4 years. 2023 overall, was yet another strong year for the partnership in terms of its financial results. The partnership finished the year with a strong balance sheet and is well positioned to thrive in 2024 and beyond. The outstanding financial results of this past year, including our record fourth quarter reflect the strength of the team that we have here at CrossAmerica. No organization could be successful without great people. I am extremely proud of the highly talented and skilled individuals we have across America and how they work together to be an even better team to all of those team members listening today, thank you for your hard work and commitment. With that, I will turn it over to Maura for a more detailed financial review.
Maura Topper: Thank you, Charles. If you would please turn to Slide 8, I would like to review our fourth quarter results for the partnership. We reported net income of $16.7 million for the fourth quarter of 2023 compared to a net income of $17.1 million in the fourth quarter of 2022, with the slight decline broadly driven by higher interest expense for the fourth quarter of 2023, offsetting higher operating income for the quarter compared to the prior year. . Adjusted EBITDA was $47.6 million for the fourth quarter of 2023, up 8% from adjusted EBITDA of $44.3 million for the fourth quarter of 2022. Our distributable cash flow for the fourth quarter of 2023 was $35.8 million, up 7% from $33.3 million for the fourth quarter of 2022. The increases in adjusted EBITDA and distributable cash flow were primarily due to the operating income increases in both our wholesale and retail segments driven by the strong fuel and merchandise margin results Charles reviewed in his comments. Our distribution coverage for the current quarter was 1.8 times compared to 1.67 times for the fourth quarter of 2022. During the fourth quarter of 2023, the partnership paid a distribution of $0.525 per unit. Charles discussed some of the primary drivers of our top line and gross profit performance for the quarter earlier. Turning to the expense portion of our operations. Operating expenses for the fourth quarter increased $5.2 million compared to the 2022 fourth quarter. This increase was almost entirely in our retail segment, which was primarily due to the increased site count in that segment compared to the prior year due to the classic trade conversions that Charles referenced in his comments. Retail segment operating expenses for the fourth quarter of 2023 increased approximately 15% from the prior year, while our average company-operated site count was up more than 16%. As we have converted sites to the company operated cost of trade, which have the largest operating expense profile of any of our classes of trade, the incremental operating expenses we are seeing for these locations are in line with our expectations for these sites as they are converted to company-operated locations. On a same-store basis, operating expenses in our retail segment were up approximately 4% for the fourth quarter of 2023 compared to the fourth quarter of 2022, with the increases primarily in the area of store labor and management fees. As we have expanded our company-operated location footprint. Same-store retail segment operating expenses, excluding those labor categories were flat year-over-year, as we have continued to focus on managing expenses across all categories. Our G&A expenses increased 2% for the quarter year-over-year, primarily due to higher equity compensation expense and legal fees. For the full year of 2023, net income declined to $42.6 million from $63.7 million in 2022. The decline was primarily driven by a decrease in motor fuel growth profit year-over-year, which was primarily a function of the strong fuel margin environment during the third quarter of 2022. Adjusted EBITDA was $165.8 million for the full year of 2023 compared to $179.8 million in 2022. For the full year of 2023, distributable cash flow was $116.7 million compared to $140.9 million for the full year of 2022. The decrease in distributable cash flow was due to the lower adjusted EBITDA earned in 2023 compared to 2022 as well as by an increase in cash interest expense that also impacted our full year 2023 net income. Our distribution coverage for the full year of '23 was 1.46 times compared to 1.77 times for the full year of 2022. Over the past five years, the partnership has increased its distribution coverage ratio from approximately 1.1x times to more than 1.4 times in 2023. Evidence of the continued benefits of the strategic initiatives we have put in place during that time and our team's ability to execute on those plans. Operating expenses for the full year of 2023 increased $20 million compared to the full year of 2022. As I noted earlier, during my fourth quarter discussion, the increase was primarily driven by incremental operating expenses in our retail segment due to the conversion of lessee dealer and commission locations to company-operated locations. Same-store retail segment operating expenses were up approximately 5% in 2023 compared to 2022, again, driven primarily by higher store labor and above-store personnel costs. Given our growing footprint, similar to my comments on the fourth quarter, our team was able to manage other same-store retail segment operating expenses to approximately flat levels to 2022, evidence of our focus on operating efficiently across our footprint. On a full year basis, our G&A expenses increased from $25.6 million in 2022 to $27 million in 2023, primarily driven by an increase in equity-based compensation expenses as a result of more grants being outstanding in 2023 as compared to 2022 and higher legal fees. Moving to the next slide. We spent a total of $12.9 million on capital expenditures during the fourth quarter and $10.6 million of that total being growth-related capital expenditures. During this past quarter, growth-related capital spending was primarily comprised of image upgrades that are being funded materially through incentives from our fuel suppliers. As of December 31, 2023, our total credit facility balance was $756 million, which was a $9 million pay-down from our 2022 year-end balance. During 2023, we were able to utilize the strong cash flow results of the business to reinvest in growth opportunities while also continuing our deleveraging efforts. Our credit facility defined leverage ratio was 4.2x as of December 31, 2023. We continue to remain focused on our operational performance and associated cash flow generation to manage our leverage ratio at approximately 4x on a credit facility-defined basis. Additionally, although we have felt the impact of the elevated interest rate environment. As with prior periods, we continue to benefit from the interest rate swaps we put into place in early 2020 and in 2023 in April and November. As of the end of 2023, approximately 77% of our current credit facility balance was swapped to a fixed rate. with a certain portion of those hedges rolling off at the end of the first quarter of 2024. As of December 31, 2023, taking the interest rate swap contracts the partnership currently has into place into our account. Our effective interest rate on the capital credit facility was 4.9%, which is an attractive rate against the current rate backdrop. In conclusion, as Charles noted, the partnership had a very strong 2023, building on the continued positive momentum of our 2022 performance and the strategic choices we have made around the business over the past several years. We are looking forward to the year ahead, continuing to focus on execution, generating durable and consistent cash flows with a focus on maintaining a strong balance sheet and generating value for our unitholders. With that, we will open it up to questions.
Operator: [Operator Instructions]
Unidentified Analyst:
Unidentified Company Participant:
Charles Nifong: Well, it appears we don't have any questions today. Should you have any questions later, please feel free to reach out to us. Again, we thank everyone for joining us today. Have a good day.
Operator: Thank you, sir. Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines. Have a lovely day.